Operator: Good morning, ladies and gentlemen and welcome to the ARC Resources Limited Q1 2022 Earnings Conference Call. [Operator Instructions] Also note that the call is being recorded on Friday, May 6, 2022. I now would like to turn the conference over to Dale Lewko. Please go ahead.
Dale Lewko: Thank you, operator. Good morning, everyone and thank you for joining us on our first quarter earnings conference call. Joining me on the call today are Terry Anderson, President and Chief Executive Officer; Kris Bibby, Chief Financial Officer; Armin Jahangiri, Chief Operating Officer; Lara Conrad, Chief Development Officer; and Ryan Berrett, Senior Vice President, Marketing. Before I turn it over to our executive team to take you through our first quarter results, I will remind everyone that this conference call includes forward-looking statements and non-GAAP and other financial measures, with the associated risks outlined in the earnings release and our MD&A. All dollar amounts discussed today are in Canadian dollars unless otherwise stated. Finally, the press release, financial statements and MD&A are available on our website as well as SEDAR. And following our prepared remarks, we will open the line to questions. With that, I will turn it over to our President and CEO, Terry Anderson. Terry, please go ahead.
Terry Anderson: Thanks, Dale and good morning, everyone. Today, I want to take a moment to review three items related to our financial and operational results and how we are progressing our business. As it relates to the quarter, ARC delivered on our strategy. We profitably invested in our assets and capitalized on elevated commodity prices to reduce debt and accelerate returns to our shareholders. Since closing the Seven Generations acquisition a year ago, ARC has sustained production at greater than 340,000 BOE a day and generated over 1.6 billion of free funds flow equivalent to about 15% of our market cap today. In Q1, we allocated two-thirds of our free funds flow to our shareholders through the base dividend and share repurchases and the remainder to debt reduction. Since initiating the buyback program in September last year, we have invested and retired approximately 6% of our shares at an average price 30% lower than today. Retiring our shares below intrinsic value has proven to be a great use of capital and an effective way to grow our per share metrics. So we will continue to use the tool to compliment the base dividends as long as it is good returns for our shareholders. In addition, we announced a 20% dividend increase in the quarter. This further demonstrates our commitment to shareholder returns as we grow our business. Importantly, the dividend is sustainable through the cycle. We can sustain the business and fund the dividend with cash flow at $40 WTI and $2 AECO. ARC is an ESG leader and very proud to have one of the lowest emissions intensities in North America. We are pleased to announce that we have achieved certification of our Northeast BC assets under equitable origin standard for responsible energy development. This is the second certification we have achieved, the first set our Kakwa asset, which means approximately 95% of our operations is certified. As a result, ARC now holds the largest volumes of independently certified production in Canada. We are also excited to announce another LNG supply agreement. This is an important next step in our market diversification and market expansion strategy. ARC will supply 140 million BTU per day or about 12% of our current gas production to Cheniere beginning in 2027 or possibly sooner. In exchange, ARC will receive JKM linked pricing net of shipping costs and liquefaction fees. Our scale, strong financial position and leading emissions profile were all important factors in securing this transaction and it supports our broader strategy to expand margins by gaining access to markets where demand for our products is strong and growing. We continue to explore additional opportunities to insert ourselves and know more of the value chain. There is growing demand for low cost, low carbon natural gas and ARC has a deep, deep inventory and expertise to responsibly develop it. Finally, our priorities for the balance of the year have not changed. We will remain disciplined with our capital. We will focus on costs and operational efficiencies given the inflationary pressures and will resume investment in BC growth projects like Attachie and our Sunrise expansion once the regulatory environment is supportive. Our plan yields an attractive return for our shareholders. At strip pricing, we expect to generate free funds flow of approximately $2.5 billion in 2022 or approximately $3.70 per share. ARC has a significant commodity and geographic optionality to help us manage risks. We are capitalizing on that optionality today as we await clarity and resolution on the regulatory environment in BC. ARC is starting to receive incremental development permits from the BC Oil and Gas Commission, which is very encouraging steps towards establishing a foundation for future investment in the province. The most efficient operating plan for ARC currently is to redirect activity to Kakwa as we await more clarity. At this time, there is no change to our overall capital spending plan or production guidance. The economics incentive in Kakwa are high, given the conflict fundamentals and prices are very strong and we have improved efficiencies at the asset level and are able to leverage existing infrastructure to profitably deliver growth. The optimal production level for Kakwa is between that 180,000 to 200,000 BOE per day, approximately 15,000 BOE per day above what we produced in the first quarter. This is the appropriate production level that optimizes free cash flow and returns by balancing capital inventory and available infrastructure. With that, I will turn it over to our CFO, Kris Bibby to go through our financial results.
Kris Bibby: Thanks, Terry and good morning everyone. I will be brief so we can leave some time for questions. As Terry said, we delivered strong quarter generally in line with expectations. ARC once again demonstrated capital discipline and commitment to shareholder returns by distributing 65% of our free funds flow to shareholders through the dividend investing in our shares. The balance was reduced – used to reduce debt, which is also a form of returns that accrues to shareholders. If you know ARC well, you know that we are a balance sheet first company and we adhere to that guiding principle in the first quarter. At the end of the quarter, we had $1.6 billion of long-term debt, of which $1 billion is through our investment grade senior notes. This equates to a debt to cash flow ratio of roughly 0.6x. We will continue to reduce debt with any excess free funds flow after dividends and share buybacks. Terry alluded to our market diversification strategy as it pertains to LNG and internationally linked pricing. This is complimentary to our longstanding diversified portfolio of pricing points across North America, which continues to benefit us today. ARC realized the natural gas price of $6 in MCF in the quarter, which is $1.40 above the AECO benchmark in Western Canada. We have exposure across five different markets in North America, including delivery to the U.S. Gulf Coast and retained considerable flexibility through our company-owned infrastructure that allows us to capture value, especially in periods of commodity price volatility. Capital allocation remains top of mind in conversations with investors. We put forward the framework to return 50% to 80% of our free cash flow to shareholders last year to continue to deliver on that. We have allocated approximately 65% of our free cash flow to shareholders since its adoption last year through a growing base dividend and by repurchasing 6% of our shares today. With our shares continuing to trade below intrinsic value, we intend to continue down this path. Our shares traded at approximately 3x free cash flow on an un-hedged basis at strip and we can stay in that for decades on existing inventory. I will caveat that this is based on strong commodity price environment however. Through a different lens, our shares are discounting at commodity price below our mid-cycle prices of $60 in WTI and below where other assets are transacting in the public market that are both lower duration and not underpinned by our owned and operated infrastructure. To summarize, we are confident in attractive risk adjusted investment for our shareholders. To front run the question I know that’s coming, if we continue to allocate 65% of our free cash flow to shareholders over the balance of the year and the remainder to debt, net debt would likely be below our $1 billion investment grade notes outstanding. In that scenario where there is excess free cash flow beyond the needs of the business, we would logically return more profits to shareholders. As it pertains to our outlook, capital and production guidance were unchanged. Certain cost guidance items increased due to combinations of factors. Taxes increased due to higher commodity prices than we had budgeted so a good thing, while higher pipeline tools and fuel gas charges increased transportation, again linked to higher commodity prices. But we are facing inflationary pressures like all other producers. So far, we have been able to mitigate most of it on the capital side through last time efficiency improvements. Drilling efficiencies in the capital region are best-in-class. We have reduced drilling days per well by roughly 15% and increased drilling meters per day by over 10% over the past 18 to 24 months. With that, I will give it back to Terry for some closing remarks.
Terry Anderson: Thanks Chris. I am so excited about where ARC is heading. We are early in demonstrating an inflection point in profitability at a time where there is strong demand for responsible resource development. ARC has the attributes to grow and continue to lead in this regard. We have scale and world-class assets that is opening up numerous opportunities to get our product to key demand regions. We have one of the lowest emission profile and a path of proving it all made possible by our team of high caliber and motivated people. ARC has been in business for over 25 years, and the future has never looked brighter. With that, I will turn it back over to the operator.
Operator: [Operator Instructions] And your first question will be from Michael Harvey at RBC Capital Markets.
Michael Harvey: Yes. Sure. Good morning, everybody. So, just a couple of quick ones. I guess first on this Cheniere deal. Maybe for Ryan, do you have any sense for or maybe give us some color on the available firm transport on Great Lakes or otherwise, just to get your gas there, or do you still have to kind of sort that out. And the second one would be just more modeling based. And that’s just focused on your royalties. You got a bunch of moving parts that are kind of tougher for us to model drilling credits rolling off, more Alberta drilling, just higher prices, so maybe you can give us a sense for where you would see your royalties going later this year kind of at a strip pricing scenario?
Ryan Berrett: Hey, Mike, it’s Ryan. Thanks for the question. Cheniere, obviously, we are really excited to enter into the Cheniere transaction. Cheniere, has a proven track record of delivering LNG to the world and we are really excited to be a part of that. Specifically to your question on transport, we are utilizing our Alliance Pipeline capacity, and we were delivering in Chicago to Cheniere and Cheniere takes our gas from there on their proprietary pipeline. This gives us one of the specific attributes to this deal. This preserves our NGPL capacity. So, ARC still retains our capacity to the Gulf Coast that we can utilize for NYMEX exposure or future LNG exposure.
Kris Bibby: And Mike, it’s Kris here. On the royalties front, you saw obviously higher royalties print this quarter, given the high commodity prices. If we look forward, at strip is probably the easiest way to just talk to it. We see relatively stable royalties in that 14% range for the remainder of the year. You are right that there are some moving parts in terms of some different changes underneath. And then as you look out a bit again, if you are using strip as kind of just to center it. It’s reasonably stable. It kind of ticks down about a percent and then stabilizes kind of in that 13% range going forward based again on existing strip pricing.
Michael Harvey: Sure. Thanks for that.
Operator: [Operator Instructions] At this time, I would like to turn the call back over to Mr. Anderson.
Terry Anderson: That’s all the questions. And then thanks everybody for your time. We appreciate the time this morning and we look forward to the next quarter. Appreciate it.
Operator: Thank you, sir. Ladies and gentlemen, this does conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Have a good weekend.